Operator: Good day, and welcome to Symantec's Second Quarter 2015 Earnings Conference Call. Today's call is being recorded. At this time, I would like to turn the call over to Ms. Helyn Corcos, Vice President of Investor Relations. Please go ahead.
Helyn Corcos: Good afternoon, and thank you for joining our call to discuss second quarter 2015 earnings results. By now, you should have had the opportunity to review a copy of our earnings release and supplemental information. We've also posted a presentation that complements our prepared remarks. If you have not reviewed these documents, they can be found on the Investor Relations homepage. A copy of today's prepared remarks will be available on the website after our call is completed. Participants on today's call are: Mike Brown, Symantec's President and CEO; and Thomas Seifert, Executive Vice President and CFO. This is a live call and will be available for replay via webcast on our website. I'd like to remind everyone that we provide year-over-year constant currency growth rates in our prepared remarks except for statements about net income and EPS. All references to financial metrics are non-GAAP unless otherwise stated. Also, implied billings refer to revenue plus the change in sequential deferred revenue, and we've provided a trended history of this metric in our supplemental information on as-reported rates. I would like to take this opportunity to highlight a few dates for you. Thomas will be presenting at the UBS Technology Conference on November 19 in San Francisco and at the NASDAQ conference on December 3 in London. And we intend to announce our third quarter earnings on February 5. Please note non-GAAP financial measures referenced during this call are reconciled to their comparable GAAP financial measure in the press release and supplemental materials posted on our website. Today's call contains forward-looking statements based on the environment as we currently see it. Those statements are based on current beliefs, assumptions and expectations, speak only as of the current date and as such, involve risks and uncertainties that may cause actual results to differ materially from our current expectations. Please refer to our cautionary statement and our press release for more information. You will also find a detailed discussion about our risk factors in our filings with the SEC and, in particular, in our annual report on Form 10-K for the year ended March 28, 2014. And now I'd like to introduce our CEO, Mr. Mike Brown. Go ahead, Mike.
Michael A. Brown: Thanks, Helyn. We're pleased with the progress we're making with our priorities to improve growth and operating margin and with the momentum that is building in our businesses. We had a solid quarter, with both operating margin and EPS exceeding guidance and with revenue coming in line with our expectations. We drove 150 basis points of operating margin expansion by driving toward an improved long-term cost structure for the company. Additionally, implied billings grew 12% year-over-year on a constant currency basis but was down 1% due to the depreciation of the euro. We're seeing more large deals with the number of $1 million deals up 56% year-over-year. Both our federal and renewals teams delivered another impressive quarterly performance. In October, we announced 6 new or upgraded offerings. Some of these include: our NetBackup 5330 appliance, which delivers twice the performance capacity of previous models; enhanced Symantec Endpoint Protection, which improves our ability to stop targeted attacks and advanced persistent threats; and augmented eDiscovery, which significantly accelerates how fast customers can search and identify relevant information in a litigation process. Our margin expansion and billings momentum give us confidence we'll achieve our fiscal year guidance at our original guided exchange rate. In October, we announced our intention to separate Symantec into 2 publicly traded companies. A separation will allow each company to focus on its unique growth opportunities, reduce operational complexity and enhance strategic flexibility. We're pleased with the positive reaction we've received from our customers, partners and employees. I attended our North America Partner Engage Conference the week after our announcement, and the partners I spoke with there were enthusiastic about the increased focus the separation brings, as most of these partners primarily sell security products or information management products. Our large customers have also been very supportive of the separation as they most often work with us on buying security and information management products in different buying cycles rather than simultaneously. And our employees are enthused about the opportunity to be part of a more focused organization. I'm confident this separation and the strategies we outlined for each business will create significant shareholder value. These strategies complement our 5 priorities, which we will continue to use to manage our 2 businesses. Thomas will provide more details about the separation process in his remarks. Now I'd like to discuss the progress we've made in executing both strategies and introduce recent additions to our executive team. I'll start with security. Our unified security strategy is to apply big data-driven intelligence to prevent, detect and remediate attacks faster and better than ever before. As a reminder, this strategy has 3 elements: first, deliver a unified security platform that integrates threat information from our Symantec products and Norton endpoints; second, grow our cyber-security service capabilities; third, simplify and integrate our security product portfolio by consolidating our Norton products to one offering and by extending our Advanced Threat Protection, or ATP, and Data Loss Prevention or DLP, capabilities into more of our Enterprise products. For example, our release of DLP 12.5 last June, which reduces the deployment footprint for customers from 5 servers to 1, helped us accelerate revenue growth in our DLP products to 18% year-over-year. In a few months, we will introduce our ATP Threat Defense Gateway, our first product that takes full advantage of the intelligence from our vast threat telemetry. And it does so in 3 ways: first, this ATP appliance offers automated threat detection through the analysis of all ports and protocols at the gateway level; second, this offering provides cloud-based sandboxing capabilities and a virtualized execution environment for detonation, monitoring and analysis of malware. Our technology uses machine learning to observe the step-by-step behavior of potential malware and then compares this behavior against telemetry of firewalls as well as our global telemetry across Symantec's endpoint, mail and web, as well as through our managed services, providing multi-tiered production. Our greater scale harnesses much richer threat intelligence, reducing our rate of false positives versus those of competitive solutions; third, ATP threat defense enables customers to prioritize security events, saving time and effort. Unlike competitive solutions that alert customers each time malware enters the network, whether or not that malware poses a real danger, we flag the most critical threats. No other vendor integrates ATP across firewalls, endpoint, email and gateways like we do. Our threat defense gateway is only the first in a series of products that will leverage our superior telemetry to generate better protection for customers. Additionally, we are releasing Symantec Endpoint Security Advanced Threat Protection or SES-ATP. This new offering will help our customers detect and respond to targeted attack activity on their endpoints by correlating information in our global security intelligence repository with local data in the customer's environment. Our research shows that virtually all advanced persistent attacks leverage endpoint systems in order to infiltrate their target organizations. SES-ATP will be delivered as an on-premise virtual appliance and will alert organizations if they are under attack, describe the scale and scope of the attack and shut down advanced threats. We will be selling this product as an add-on capability for our large installed base of Symantec Endpoint Protection or SEP customers. Our complementary threat defense gateway provides ATP protection even for customers who do not currently have SEP installed. Moving to cyber-security services. Our addressable market is growing at a 30% compound annual growth rate from 2013 to 2018, becoming a $10 billion market by 2018. Today, we are the only company that offers the combination of Managed Security Services, incident response, managed adversary threat intelligence and a cyber-security simulation platform. Let me say a few words about each. We unveiled our upgraded Security Operations Center or SOC in Sydney, Australia, which joins a global network of 4 other SOCs in the U.S., U.K., Japan and India. Our incident response service, which we launched in June, has already engaged 65 customers, nearly doubling since August. We launched our managed adversary threat intelligence offering in early October, which provides customers with intelligence reports on adversaries, attack vectors and incidents and campaigns in targeted industries and geographies. Later this fiscal year, we'll be launching a cloud-based, hands-on cyber-security simulation that customers can access from anywhere and engage in realistic training scenarios that approximate their data center environments. We believe we're the only company in the world with such an offering and have already engaged with a large European government to deliver this offering. Over the last 12 months, Symantec has tracked 255 data breaches that exposed a total of 656 million identities. Using telemetry provided by our Global Intelligence Network of more than 41.5 million attack sensors, our researchers partnered with international law enforcement to disrupt the advanced criminal infrastructure behind the Shylock malware, remediate infections from a Turla cyber espionage campaign and helped neutralize the advanced malware used by Hidden Lynx. Our Information Management vision is to help organizations harness the power of their information when they need it, wherever they need it, wherever it resides. Our Information Management strategy has 3 elements: first, innovate across our best-in-class portfolio of solutions to provide resilient and reliable foundational products for our customers; second, deliver solutions that dramatically reduce the total cost of ownership of storing, managing and deriving insights and business value from information; third, enable visibility, management and control across an organization's entire information landscape through an intelligent information fabric layer that integrates with our portfolio and third-party ecosystems. We continue to extend our lead in backup, particularly with our appliances. The growth of our NetBackup appliances accelerated from 35% year-over-year growth in the June quarter to 45% in the September quarter. In October, we announced our NetBackup 5330 appliance, which delivers twice the performance and capacity of prior models, making the management of information even simpler and less expensive. Our information availability business had double-digit billings growth, driven by robust renewal activity. With Storage Foundation, we drove better performance at a lower cost than competitors, enabling the win of a multi-million dollar deal with a large company in India. To extend our leadership in Storage Foundation, we are releasing our Smart I/O platform expansion with flexible storage sharing in December. This expansion will enable customers to drive down costs, increase performance and move into cutting-edge software-defined storage. Our on-premise archiving product generated double-digit billings growth, driven by the summer launch of Enterprise Vault 11. Additionally, to enable customers to move data to and from the cloud, earlier this year, we introduced Disaster Recovery Orchestrator, which enables businesses to automate and manage disaster recovery of Microsoft Windows-based applications residing on either physical or virtual machines to the Microsoft Azure cloud. In November, we will extend this capability to Amazon Web Services. We continue to attract leading talent to my team. We've hired Balaji Yelamanchili, who will be the General Manager of our Enterprise Security Products. He has more than 20 years of development, marketing and management experience in the software industry, and was most recently Senior Vice President for Analytics and Performance Management Products at Oracle. Balaji's analytics background will be instrumental as we leverage our unified security intelligence platform to harness more insight from our vast telemetry data. We've also hired a new leader of strategy and alliances, Jeff Scheel, who has more than 25 years of experience at enterprise software and security companies in executive roles at FireEye, Mandiant, ArcSight and Hewlett-Packard. In closing, we've made significant progress over the past 7 months. We've outlined 5 key priorities, which we will continue to use in managing both of our major businesses, Security and Information Management. Number one, we're managing our portfolio of businesses for growth and margin; number two, we're shifting R&D investment to the fastest growth areas for our future; number three, we introduced 8 revenue and efficiency initiatives to stimulate growth and expand operating margins; number four, we're attracting top talent to our executive team; and number five, we continue to return significant cash to shareholders. Our implied billings growth rate and the change in the trajectory from last year give us confidence that we will achieve our revenue and operating margin targets at our original fiscal '15 guided exchange rate. Achieving nearly 29% operating margin this quarter underpins our ability to improve profitability. We've now articulated defined strategies for our 2 major businesses and announced a separation to better realize the distinct strategies required for each to be successful. We've moved from a functional to a business unit organizational structure to improve our focus on the different roles our businesses play in the Symantec portfolio. The improvement in our Norton operating margin from 43% to 53% underscores the power of aligning around a business focus to make quick decisions and execute faster. We've also added 6 key executives, enhancing the capability of the management team, in the past 7 months. We will continue to move quickly in making the changes required to ensure Symantec has a more successful future, and in doing so, we will stay focused on executing to deliver for customers, employees and shareholders. Now I'll turn it over to Thomas to review our financial results and guidance.
Thomas J. Seifert: Thank you, Mike, and good afternoon. Symantec delivered a solid quarter, with operating margin and earnings per share exceeding guidance and with revenue coming in line with our expectations. These results were driven by strength in Enterprise Backup, Enterprise Endpoint Protection and DLP products as well as reduced operating expenses. We continue to make progress on our revenue and efficiency initiatives and are well on our way to achieving our fiscal year revenue and margin targets. As you know, the U.S. dollar appreciated significantly against the euro during the September quarter, which created a headwind of $106 million to deferred revenue and $19 million to our revenue. Our implied billings on a currency-adjusted basis were up 12% year-over-year. This marks our fourth consecutive quarter of an improving billings trend and our second quarter of growth. We posted our first quarter of license growth in 6 quarters. License revenue grew 25% year-over-year, driven by strength in Enterprise Backup and an easier compare versus the year-ago period and it was also up 8% sequentially. Renewals were up year-over-year from growth in Storage Foundation and Enterprise Backup, and Enterprise subscription grew 6% year-over-year, accounting for 16% of total revenue. Our federal team continued to perform above expectations. We secured a multimillion dollar renewal and multiple license deals with various agencies of the U.S. government. Our number of larger deals greater than $300,000 grew 24% to 277, with strength in the retail, financial services, telco, technology and health care sectors. Moving now to our business segments. As we mentioned last quarter, we realigned our reporting segments into Consumer Security, Enterprise Security and Information Management. The new reporting structure provides improved transparency into our Consumer Security segment for both management and investors, and helps us better manage our Information Management and Security businesses during the period leading up to the separation. In Consumer Security, we simplified our product portfolio by streamlining 9 core products into a single Norton Security offering and exited unprofitable OEM contracts. These efforts expanded operating margin 973 basis points year-over-year to 53%. Over the last 10 quarters, we have significantly increased operating margin, as is now evident in our new reporting structure. In response to an increase in consumer protection regulations, we made the decision to be more transparent in the way we manage automatic renewals in our Norton business. We believe this change in policy is the right thing to do for our Norton customers, and will result in greater brand loyalty. In the near term, these changes, however, along with our decision to exit certain unprofitable OEM and retail channel arrangements, will negatively impact revenue and billings in the Norton business over the next 4 quarters. Revenue in the quarter was down 6% year-over-year to $485 million. However, the net impact of higher operating margin more than offset lower revenue, resulting in a 15% year-over-year increase in operating income. We believe we can mitigate the revenue decline in the Norton business by improving online customer acquisitions, enhancing the customer experience, transitioning Norton to a subscription service and by providing a virus removal guarantee to customers who opt in to auto-renewal. Enterprise Security revenue decreased 1% year-over-year to $511 million as growth in our Endpoint Protection and DLP products were offset by weakness in Endpoint Management. GAAP operating margin reached 17% compared to 15% in the year-ago period, driven by reduced expenses. Information Management revenue increased 3% year-over-year to $621 million. Growth in Enterprise Backup was offset by weakness in information availability. GAAP operating margin declined to 20% compared to 24% in the year-ago period, due to an increased revenue in our lower margin appliances. Gross margin increased 30 basis points year-over-year to 84%, as lower royalty payments more than offset an increase in lower margin appliance revenue. We made significant progress reducing our operating expenses during the September quarter, which resulted in operating margins of 28.7%, 150 basis point expansion year-over-year. Net income of $332 million resulted in fully diluted earnings per share of $0.48, down 6% year-over-year as the September 2013 quarter included a gain on the sale of our LifeLock investment. We returned a total of $229 million during the September quarter via share repurchase and dividends. $104 million was in the form of cash dividends to shareholders, and $125 million was used to repurchase 5.26 million shares at an average share price of $23.75. We have $408 million remaining under the current stock repurchase authorization. Cash flow from operating activities totaled $173 million, down 9% year-over-year due to lower collections. And capital expenditures were $107 million, up year-over-year as we invest in our IT and cloud infrastructure. Now I'd like to briefly discuss our 8 revenue and efficiency initiatives. We made progress on our revenue initiatives, with sales and renewals, pricing optimization and license compliance all contributing to the September quarter's results. In sales and renewals, we are putting into practice more policies and procedures of a best-in-class sales organization, including more consistent forecasting, better pipeline management, more aggressive pursuit of slipped deals and a greater focus on value selling. In pricing, we have established more disciplined parameters that place higher value on our products and services. In license compliance, our augmented auditing procedures are beginning to show traction. With our efficiency initiatives, we've seen the benefits of optimizing our Norton segment in our expanded operating margin. Reducing our total footprint, streamlining product support and improving R&D capacity will contribute to revenue growth and margin expansion in the second half of fiscal year '15. Before I review our guidance, I'd like to comment on our separation progress. Our philosophy is to manage each business separately, minimize disruption to our businesses, partners, customers and employees and execute a well-managed separation. To achieve these objectives, we have established 4 operating principles. First, we're deploying dedicated work streams to manage the separation. Second, we are leaving our go-to-market capability largely intact for the remainder of this fiscal year. The split between our new license and renewal sales teams, as well as the increase in specialization between Security and Information Management, which occurred a year ago, ensures that most of our separated go-to-market capability is already in place. Third, we're creating a process to separate contracts that pertain to both our Information Management and Security products. To that end, we established a contract separation project management organization to ensure customers are minimally impacted from the transition. We believe separating the contracts will not be problematic, and we intend to enter into intercompany agreements to address the ELAs. Fourth, to minimize costs, we are delaying the creation of a duplicative organizational structure until late in the separation process. In parallel with our separation efforts, we are carefully reviewing the 2 businesses to ensure we have a more streamlined cost structure. Over the next 5 quarters, we expect to incur separation cost of between $80 million and $100 million. This excludes any potential tax implications outside the U.S. and potential adviser fees payable upon the separation. We will also incur restructuring charges of between $100 million and $120 million, with about half of these costs coming in fiscal year '15. As a result of restructuring, we expect headcount reductions of approximately 10%. We expect to reinvest some of the savings in R&D to grow key growth offerings such as mobile, services, DLP, ATP, Backup and Backup Appliances. The separation is expected to accelerate these restructuring efforts and generate momentum into fiscal year '16 across our 8 revenue and efficiency initiatives. For example, we'll be able to reduce our global footprint by terminating leases and closing redundant data centers and facilities. We are still evaluating the capital structure and capital allocation policies of each company, and will update you as we have more details. We expect to file a preliminary Form 10 in the summer, which will provide carved-out financials and other detailed information. Now turning to guidance. For the December quarter at an exchange rate of $1.27, we expect revenue between $1.65 billion to $1.69 billion. We expect operating margin between 28.3% to 29.3%, resulting in EPS of $0.47 to $0.50. We are pleased with the momentum we have generated in the first half of fiscal year '15. As a result, we are raising our fiscal year guidance at our originally guided exchange rate of $1.38 to revenue between $6.715 billion to $6.795 billion and operating margin between 28.3% and 28.6%, resulting in EPS in the range of $1.94 and $1.99. At the originally guided exchange rate, we expect to achieve revenue growth during the second half of the fiscal year and to reach 30% operating margin by the fourth quarter. After adjusting for the volatile currency movements at an expected annual exchange rate of $1.31 versus our originally guided rate of $1.38, we expect fiscal year revenue to be in the range of $6.6 billion to $6.68 billion, operating margin between 27.4% and 27.8% and EPS between $1.88 and $1.93. In conclusion, I am pleased with our continued progress this quarter and the future that lies ahead of Symantec. And with that, I'll turn it over to Helyn to begin taking our questions.
Helyn Corcos: Thank you, Thomas. Operator, will you please begin polling for questions?
Operator: [Operator Instructions] And we'll go first to Philip Winslow with Crédit Suisse.
Philip Winslow - Crédit Suisse AG, Research Division: Really wanted to focus on that license line. It grew pretty impressively year-over-year even on a constant currency basis, and I understand it was an easy comp versus last year, but it was a big number in sort of the first quarter, and multiple quarters we've seen that type of growth. Wonder if you could give us some just sort of details, as far as what's driving that? In particular, you obviously made a lot of changes just on the go-to-market strategy the past 12, 15 months. I mean, is that where we're starting to see pay off or is it specific products or is it a combination? Just more detail would be great.
Michael A. Brown: Philip, I'd say it's a combination of the go-to-market changes, which we've talked about for several quarters here that underpin a strengthening in the business that you can see in the implied billings trend, so I'd say that's really part of it. But I'd also say it's the strength in new products. So a number of things that we called out here, the accelerating growth in appliances, you'd have to point, number one. The improvement in DLP, so seeing that up 18% year-over-year. In addition, our flagship Endpoint Protection or SEP products are also up. User Authentication, also up. So -- NetBackup, in general, separate from appliances also increased year-over-year, that was 18% also year-over-year increase. So a lot of improvement in the product comparisons as well. Of course, we introduced 6 new products in October. So as we start to think about Q3, and we'll have introduced 40 new products that will be new or upgraded versions of existing products by the end of this fiscal year.
Operator: And we'll go next to Walter Pritchard with Citi.
Walter H. Pritchard - Citigroup Inc, Research Division: Just one question, some detail on the consumer side. You talked about some changes to practices in auto-renewal, then it sounds like you did exit some products. Could you give us some more detail on how much impact you specifically expect to see in that business from those moves and the relative weighting of those 2 factors?
Michael A. Brown: Well think there's a number of headwinds that -- you could view them as headwinds, you could view them as positive changes, depending on whether you're looking at revenue or the profit impact that Thomas covered in his remarks. So as we talked about streamlining the business, it was not only the product streamlining, from going from the 9 offerings down to 1, but it's also in terms of the channel and business practice. So on the channel, as you know, we focused on online acquisition and gotten out of unprofitable OEM, retail, some activity we had going in small countries. And so taking away that unprofitable revenue obviously makes a more difficult comparison as we look at the revenue year-over-year. But improves the -- both profitability as we saw the operating margin increase to 53% and the absolute profits in the business. The renewal policy that we changed basically made it much more transparent for consumers to not be automatically renewing. What we're doing to mitigate those headwinds, which you expect the last several quarters, because the business is ratable, and it will take us 3 or 4 quarters to work through that, and have a different comparison point, are focusing on online acquisition, where we think there's more opportunity to improve the rate at which we acquire customers, and then enhancing the customer experience. We're going through what it takes to land each landing page, what it takes to come to Norton and we're also improving what we can demonstrate to customers as value they receive from Norton. So an example, when one of these large malware attacks occurs, we're highlighting that for customers if they're protected already by Norton. We think that's going to show customer there's value in subscribing to Norton versus subscribing to one of the freemium offerings that are out there. For those folks who do renew automatically, we're offering a virus removal guarantee, which means that if they do get a virus, we'll guarantee to get that removed from their system. So there's a number of things that we're doing to mitigate what we're seeing as headwinds over the next several quarters.
Walter H. Pritchard - Citigroup Inc, Research Division: Great. And then just one question on the Enterprise endpoint. So that product line's been stronger, I think, many people have expected for the last a couple of quarters. Can you talk about -- is it large Enterprise, is it midsize business? Is it certain verticals? And do you think you're taking share, because I think the investor consensus is probably that, that's a no growth business, and you've been seeing some pretty good growth there.
Michael A. Brown: We've been pretty consistent that, that has been growing mid-single digits, which is in line with the market. I actually think this past quarter, we saw some strength to indicate we could be gaining share in that market. What we just introduced in October really improves the capability of the product. We talked about that to stop targeted attacks. And I'm very enthused about what's coming as we get to the end of this fiscal year, beginning of next fiscal year, where we're introducing Advanced Threat Protection capability, focused on the endpoint, that's SES-ATP capability's going to be very powerful.
Operator: And we'll go next to Raimo Lenschow with Barclays.
Raimo Lenschow - Barclays Capital, Research Division: Quick question for me, is like first of all, you talked about the new product. Can you talk a little bit about the environment that you're seeing at some -- in Europe and the U.S.? And I assume it's a new product that's in your new distribution model, and all of the sales here [ph] -- improvement in the sales performance. But what are you seeing in terms of trends there? That's my first question. And then the other question we had from a lot of investors is like, can you talk a little bit about the situation in China, and how you're working around that?
Michael A. Brown: So I'd say from a geography standpoint, we are seeing strength in North America relative to the other regions. But I'd say it's improving from what we saw in previous quarters, especially in APJ for us. Thomas, did you want to add something?
Thomas J. Seifert: Yes, we've done especially well this quarter in Latin America because of some very large deals in the financial sector and in the infrastructure sector. So overall, I would say we see the strength of the product across all of the regions and all of the important verticals, whether it's federal or public sector, financial services, health care and insurance, especially. China...
Michael A. Brown: Yes, you asked specifically about China. What we've talked about before is the same for us today, which is most of our revenue in China is from our Information Management business. So I don't know if your question was reflecting kind of the political environment in China, where a lot of tech companies have faced some difficulty. We don't see that affecting the Information Management business.
Operator: And we'll go next to Keith Weiss with Morgan Stanley.
Keith Weiss - Morgan Stanley, Research Division: On the restructuring that you're planning on doing, ahead of splitting the company in 2. You talked about a -- initial headcount reduction of around 10%, but then you're going to reinvest in some of, sort of those cuts. Can you help us understand sort of where the areas you're expecting to cut from initially? And maybe help us understand the magnitude of that reinvestment, maybe what the net headcount looks like after all is said and done?
Thomas J. Seifert: Yes, that's a very good question, so I think we have been rather transparent in how we look at our cost structure and where we think there's room to make us a leaner and more efficient organization. That's in the infrastructure cost and the footprint we have, and our benchmarks in sales and marketing and also, to a certain degree, in G&A cost are off by quite a bit. And this is where most of the restructuring is going to be targeted at. As the reinvestment goes into R&D, as we said before, into mobile, into services, in DLP and ATP and the Backup and Backup Appliances. We'll provide more clarity of how much we are going to invest when we start the new fiscal year. We are going through the product portfolios from an R&D perspective, as we speak. Where's the best ROIs, where are the good growth opportunities, and where are the opportunities for us to really deliver unique benefits to our customers across the portfolio that we have. So we will not reinvest all of the 10%, but we will reinvest a good portion of it, because the opportunities from a market perspective are just huge.
Keith Weiss - Morgan Stanley, Research Division: Got it. And then, maybe it's been a couple of -- not too long, but a couple of weeks since you guys announced the plan to split the company into 2 parts. Can you help us -- maybe some of the feedback that you've gotten from partners and customers and what they think about the plan? What's the early reception that you guys have gotten to that strategic change?
Michael A. Brown: I'd say it's very positive. I was able to spend the week after the announcement, as I mentioned in the script, with our North American partners at an event we call Partner Engage. And because most of our partners frankly are already focused on either one part of the business or the other, a lot of enthusiasm for what -- working with a smaller, more focused company that can execute better. And at that event, we were able to confirm that we do not see any changes to the channel program, something we've talked about in the last couple of calls. Something we've invested a lot in, something our partners have invested a lot in, because as you'll recall, this is all about better economics for more value, meaning our partners invest with us, get certification to be able to achieve better economics through this program, so that we're working with the most valuable partners who help us sell some of the most valuable solutions in the market, versus some of the products that are frankly easier to sell, and become more commoditized. So I think there's a lot of enthusiasm from the channel partners about both the program and the momentum they're seeing on products. I think our larger customers similarly are, as we've already talked about before, they're different buying centers. They're often, even when we do a contract that spans Information Management and Security, they're buying those in different cycles. So I think from their standpoint, they view it as a positive, and don't see that there's going to be a disruption to continuing to buy from us. And they're excited about what's in the pipeline.
Operator: And we'll go next to Brent Thill with UBS.
Fatima Aslam Boolani - UBS Investment Bank, Research Division: This is Fatima Boolani on behalf of Brent Thill. I had a question along the lines of the product portfolio. As you think about investing into some of these higher growth areas, the mobile DLP and ATP, what approach are you taking to some of your older products? I mean, are there some in the portfolio that could be candidates for divestitures or discontinuation or even sunsetting?
Michael A. Brown: Yes, and Fatima, we've talked about that before. Of course, we can't announce ahead of any transaction, but we've looked both at individual products as well as groupings of products that might make sense. So that's certainly something that is on our mind. More importantly, we're focused on where we can reinvest for the highest growth. We've talked about some of those here today. We believe DLP is a flagship product for us, something where our position is more than twice as big as the next biggest competitor. We have a similar position with Endpoint, and we're going to make that a lot more powerful, as I said, when we include ATP capabilities, so SES-ATP, and that's coming very soon. We expect to be in beta on that product by the end of this fiscal year. Services is another area, which is 1 of our 3 tenets of our strategy. Huge market. We're not a large factor there, even though our business activity is way up in services. Mobile is another opportunity for us going forward. And on the Information Management side, we see opportunities continuing with appliances, as we mentioned, our growth rates accelerated there. Continue to see growth in Backup, and we're excited about the business level of activity we're seeing with some of the new offerings we've got with older products like Storage Foundation and some of the other information availability products. It's a pretty broad spectrum of things we see to invest in.
Fatima Aslam Boolani - UBS Investment Bank, Research Division: Understood. That's helpful. And maybe just a quick follow-up on the Information Management side of the house. The appliances and the Backup growth was pretty strong. Just curious what customers' posture is around having more of a cloud-based approach to backup and archiving. We've seen a lot of software companies pivot towards the consumption or on-demand model, so just curious if you're seeing an accelerating interest in hosted or cloud-hosted backup and recovery offering.
Michael A. Brown: Yes, I think that's a very accurate description, an accelerated interest. And that has been an interest in exploring that from many different types of customers. If you look at where the market's going, it's moving first to cloud at smaller, medium-sized businesses, not really the large enterprises. So I think that's one of the reasons why our growth continues to be strong for an on-premise solution with the largest enterprises, because that's of course, where NetBackup is strongest. So I'd say we're seeing more pressure there for competitive products to Backup Exec, as an example, than we are with NetBackup. But we continue to make progress in terms of getting our offerings to the cloud. And we talked today about some of what we're doing to be able to enable customers to move back-and-forth data to the cloud and recover from the cloud. That's what Disaster Recovery Orchestrator is all about, as an example.
Operator: We'll go next to Michael Turits with Raymond James.
Michael Turits - Raymond James & Associates, Inc., Research Division: Wanted to follow up on a prior question about the headwinds on the revenue side to Consumer, and whether or not you actually -- well, there may be 2 different ways of looking at it. One, if you can quantify it, since you had that big drop year-over-year, relatively speaking, on the Consumer Security side, and whether or not that we could think about that going to growth, when you come out of that in 3 to 4 quarters.
Michael A. Brown: Well, I think after 3 or 4 quarters, what we would expect is a moderation of that trend that you see this quarter. So we've talked about in the past the fact that our Norton business, it's certainly the largest, by far, Consumer Security business. And we expect that there is an opportunity to continue to improve that. But we should expect from a revenue standpoint that it will be flat to slightly declining. So we think when we get through this period of headwinds, we should return to an environment that's more like that.
Michael Turits - Raymond James & Associates, Inc., Research Division: And then, when you talked about the separation cost of $80 million to $100 million, the restructuring cost of $100 million to $120 million, is it -- clarification, are those costs that are going to be non-GAAPed out, and are those accrual costs or are those cash costs? If you can break those out, it'd be helpful.
Thomas J. Seifert: They're going to be non-GAAPed out for sure. And they are cash for most -- they are cash, 100% of the charges.
Michael Turits - Raymond James & Associates, Inc., Research Division: Okay. So those are all cash charges and non-GAAPed out.
Operator: We'll take our next question from Matt Hedberg with RBC Capital Markets.
Matthew Hedberg - RBC Capital Markets, LLC, Research Division: Mike, you've got one of the broadest perspectives in security spending out there. And I'm curious, as you talk to CISOs around, certainly here domestically and internationally. Do you feel that 2015 security budgets could accelerate beyond core IT? I mean, I think the assumption being a lot of the 2014 budgets were set after some of the biggest breaches occurred this year.
Michael A. Brown: I clearly believe that. I am following as you are, what we're reading in the headlines, the increased number of breaches we talked about in our comments today. If you remember Jamie Dimon's comments, they spent $250 million on security this past year, and he's thinking about doubling that. He's not the only CEO out there that's thinking about what is required to be able to protect a business' reputation. So I think we're going to see, not only an increase in budget but an increase in budget towards some of the more sophisticated offerings to protect customers. You're going to see that from us with these ATP offerings we talked about, and services. That's why we're so focused on services. Security is so complex, and there aren't enough qualified, trained professionals in the security operation staff to deal with that, that services presents a tremendous opportunity for us going forward. So we want to be able to provide Security, how customers want to buy it, whether that's a product, a service or a combination.
Thomas J. Seifert: And I think that's not only a statement for the private sector. It's also a statement for the public and for the federal customers that we have, worldwide.
Operator: We'll go next to Matthew Niknam with Goldman Sachs.
Matthew Niknam - Goldman Sachs Group Inc., Research Division: A question on Enterprise Endpoint. You talked about stronger renewals and some stronger growth on that front. Wondering if you can comment on the state of competition in that market, and whether you've seen any impacts to pricing, how pricing's been trending.
Michael A. Brown: Yes, I think the Endpoint market is one where you see competitors catch up in capability, then there's price pressure. But as new capabilities come out, that presents an opportunity for an uplift in terms of pricing. So as we described today, where we have a baseline, the biggest in terms of our Symantec Endpoint Protection because we're the leader there. As we introduce a product like SES-ATP, it's an add-on capability where you get a lot more capability to protect the endpoint. And that will be sold as an add-on. So I think you'll be able to see a potential to get more revenue from that installed base, with that enhanced capability.
Matthew Niknam - Goldman Sachs Group Inc., Research Division: Okay. And then just one clarification, just on the -- as we think about timing of the restructuring and separation-related costs, how should we expect those to hit the income statement in upcoming quarters? Just trying to get a sense of, whether we straight line or if there is more weighting towards a particular time frame.
Thomas J. Seifert: Yes, that's fair. So I think when we talk about the separation costs we are preparing to occur those above -- across the next 5 quarters, pretty much, in more or less a linear fashion. When we talk about restructuring, we will have pretty much 50% of those charges within this fiscal year. So most of the restructuring is going to occur in the fourth quarter of this fiscal year and the first quarter of next fiscal year.
Operator: [Operator Instructions] We'll go next to Gregg Moskowitz with Cowen and Company.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: Thomas, as you indicated earlier, your Consumer Security margins are now 53%. They've expanded at an especially rapid pace over the last 6 quarters. You pointed out some of the reasons why. In your view, how much more margin expansion potential do you think exists within Consumer, going forward?
Thomas J. Seifert: Well, there's always a little room for improvement, but I think what Mike said is important. We stabilized the business from a profitability perspective. Focusing on profitability was a big task, streamlining the product portfolio and getting out of revenue engagements that are not contributing to the bottom line. So now moving forward, it's more about keeping the profitability that we have, maybe slightly improving it, but making sure that we get into a revenue and top line development that Mike has indicated.
Gregg S. Moskowitz - Cowen and Company, LLC, Research Division: Okay, perfect. Then if I could just ask a follow-up to Mike. Just kind of wondering your thoughts on the recent decision to stop selling the Backup Exec 3600 appliance in the market. And just if you had any broader comments on SMB-based backup for Symantec going forward.
Michael A. Brown: Yes, that's one of the decisions that we made as we talked about before, where we're taking a look at the product line to see if something's contributing to growth, is it contributing to profit, or neither. And if a product is not contributing to either, then it's a candidate to be stopped. So we've done some of those in the past. We've done that with some things we haven't announced yet, that we stopped before they got into the market. Here's an example of one that we had to stop selling, because it doesn't make any sense for us to continue, because it's not contributing to the bottom line.
Operator: And we'll go next to Pat Walravens with JMP Securities.
Unknown Analyst: This is Matt Spencer in for Pat. I noticed that you added 6 key executives in the past several months. Just wanted to get you maybe to talk a little bit about where those folks came from, whether it's easier, in general, to get those types of candidates now, and what the other roles that you're looking to fill are?
Michael A. Brown: Sure. I'm excited about each one of what these executives brings, and then the combination's really improved our capabilities. So starting with Thomas, who joined us last March as CFO. We announced just several weeks ago, John Gannon, who's leading the Information Management business as an Executive Vice President from HP. Thomas, long time at AMD, as you recall. Amy Cappellanti-Wolf, who joined us as Head of Human Resources from Silver Spring and Cisco. Jeff Scheel, who joined us recently to head up Corporate Development, aligns within Strategy, joins us from FireEye, Mandiant, HP, ArcSight before that. Adrian Jones, who heads up sales for Asia Pacific, and will be our Worldwide Leader for Security Sales. He also joins us from Oracle, HP. And we're excited about the improvements that APJ has seen since he's been on board. And then very significantly, Balaji, who will be joining us, Balaji Yelamanchili from Oracle, who'll be joining us starting next Monday, and he'll be leading our Enterprise Security Products organization. So I couldn't be more pleased with the additions we've made. In terms of whether it's easier, I think it's easier given the improved momentum, and I think having a permanent CEO has been important in the recruiting process, to be honest with you. In terms of what we're looking for, going forward, I think the team is pretty well complete at this point. We're searching right now for someone to lead our Services business as a General Manager. Such an important area for our growth in the future, and we haven't had that organized as its own business. So that's the search that's underway.
Operator: And we'll go next to Nikolay Beliov with Bank of America.
Nikolay Beliov - BofA Merrill Lynch, Research Division: I was wondering whether you can -- you're willing to share some of your preliminary thoughts on once the company separates in 2, in Security and Storage, what will the strategies be of the new companies? And Security specifically, around network security, and in the Storage business around this latest trend in the market that instead of [ph] getting multiple backup copies and data replication copies, you have one golden image of the information and what the implication of whatever the new strategy is going to be around M&A.
Michael A. Brown: Okay. Well, we've talked briefly about the strategies. If you look at some of the material, I believe it's on the investor website too. On Unified Security, I'll cover it very briefly, but these are the strategies that we would expect each of the businesses to go forward with. So starting with Unified Security. It's all about building this intelligence platform that takes advantage of the threat telemetry and global footprint that we have. So that's the first thing, and that will be an area of investment for us. Second is the growth in services that we talked about. And third has to do with what we do with the product portfolio to both simplify and integrate, and the integration here is not about suites of products. It's about integrating ATP and DLP capability across more of these products at the various control points. So that's, in a nutshell, is what we're thinking about for Security. On the Information Management side, it starts with improving the foundational products that we have. We're talking about NetBackup, the Appliances, Storage Foundation. We talked about some of those improvements in the prepared remarks today. It continues with what we can do to improve total cost of ownership, which really gets to your question about the number of backup copies that are floating around enterprises, so it's really going specifically to that point. And then, it's also taking advantage of the end-to-end visibility we have of seeing the life cycle of information. And we've got a development underway that we've talked about, called Information Fabric, that will allow IT professionals to see what data they have, where it's located, how it's protected and so forth. In terms of M&A activity, I would expect that we're going to continue to be looking at where we can enhance the portfolio. We need to be selective as we look at those opportunities. So I would expect that to be complementary technologies. We don't need to buy revenue at Symantec, so we're going to continue to look at those. That is under way at this point. And so I would expect we would be able to engage in some M&A activity even before the separation is complete.
Helyn Corcos: So operator, I believe we're at the top of the hour, so that will be it for questions today.
Operator: Thank you. That concludes our question-and-answer session. I'd like to turn the conference back to our speakers for any closing remarks.
Michael A. Brown: Thank you very much for joining us.